Operator: Good day, everyone, and welcome to American Outdoor Brands, Inc. Third Quarter Fiscal 2023 Financial Results Conference Call. This call is being recorded. At this time, I would like to turn the call over to Liz Sharp, Vice President of Investor Relations for some information about today's call. Please go ahead.
Liz Sharp: Thank you, and good afternoon. Our comments today may contain predictions, estimates and other forward looking statements. Our use of words like anticipate, project, estimate, expect, intend, should, indicate, suggest, believe and other similar expressions is intended to identify those forward looking statements. Forward looking statements also include statements regarding our product development, focus, objectives, strategies and vision, our strategic evolution, our market share and market demand for our products, market and inventory conditions related to our products and in our industry in general and growth opportunities and trends. Our forward looking statements represent our current judgment about the future, and they are subject to various risks and uncertainties. Risk factors and other considerations that could cause our actual results to be materially different are described in our securities filings. You can find those documents as well as a replay of this call on our website at aob.com. Today's call contains time sensitive information that is accurate only as of this time and we assume no obligation to update any forward looking statements. Our actual results could differ materially from our statements today. I have a few important items to note about our comments on today's call. First, we reference certain non-GAAP financial measures. Our non-GAAP results exclude amortization of acquired intangible assets, stock compensation, shareholder cooperation agreement costs, technology implementation, acquisition costs, other costs and income tax adjustments. The reconciliations of GAAP financial measures to non-GAAP financial measures, whether they are discussed on today's call, can be found in our filings as well as today's earnings press release, which are posted on our website. Also when we reference EPS, we are always referencing fully diluted EPS. Joining us on today's call is Brian Murphy, President and CEO and Andy Fulmer, CFO. And with that, I will turn the call over to Brian.
Brian D. Murphy: Thanks, Liz, and thanks everyone for joining us. In the third quarter, we addressed ongoing uncertainty in the macroeconomic environment while remaining focused on the future, investing in our long term growth, managing the elements within our control, and delivering several important operational and financial achievements. For our Company and many others in our space, we continue to encounter choppy waters created by the shifting dynamics of retail supply and consumer demand in a post pandemic environment. POS data we received from our retailers indicates that sales of our products declined in the third quarter in the high single digits. We believe this is a reasonable result given the current environment. A POS data also indicates that consumers continue to choose our brands, which is great news. In fact, several of our major retailers have told us we are outperforming other brands in our categories. At the same time, however, many retailers continue to focus on destocking initiatives, a legacy from supply chain issues and inventory builds that emerged during the pandemic. This process takes time to work out and as a result, we believe a return to normalized replenishment orders from retailers is unlikely to occur until later in 2023. While we can't control the choppy waters around us, we can and we have continued to invest in our business and manage the elements within our control. I believe our third quarter performance reflects solid execution on that front. We demonstrated the strength of our new product pipeline with several innovative new products that excited our retailers and consumers. We expanded our domestic and international sales teams. We have amended our facility lease agreement to optimize recent consolidations and add capacity for future growth. We strengthened our balance sheet and we returned capital to our shareholders. As a result, I believe we are well positioned for the time when retailers pivot from managing supply chain issues and inventory destocking initiatives to focusing on replenishing their inventories and preparing to deliver the innovative products consumers truly want. With that, let me share some details from the third quarter. While net sales in our third quarter declined year-over-year, they grew 17.4% above pre pandemic levels. Our direct to consumer business, which largely consists of our outdoor lifestyle brands, delivered year-over-year growth of over 37% which includes our acquisition of Grilla Grills. We consider our direct-to-consumer sales to be one gauge of how well our brands are resonating with consumers. Since those sales are not typically impacted by retailer's inventory levels or limited open to buy dollars. Our direct to consumer sales also include sales of MEAT! Your Maker, meat processing equipment and Grilla, outdoor cooking products, which are sold exclusively direct-to-consumer. Together, these brands generated over 14% of our total net sales. Our outdoor lifestyle category made up 55.6% of our business and delivered growth of more than 39% over the pre pandemic third quarter of fiscal 2020. Growth in our outdoor lifestyle category, including international growth, remains an exciting opportunity for us. During the quarter, we expanded our sales resources adding a dedicated manager for fishing sales in the Southeastern United States. We also named a sales rep firm that is well known in the fishing industry to cover the Northeastern U.S. territory. And more recently, we named a firm in Europe to represent our many cutlery brands as well as our Crimson Trace optics brand. Innovation is our core strength and therefore the key element in our long-term growth strategy. Our innovation machine is robust and new products launched within the past two years generated nearly 24% of our third quarter net sales. Our Dock & Unlock process fueled that innovation. And during the quarter, we unveiled a host of new products, most of which incorporate proprietary features and that taken together advance our strategy to enter new product categories and expand our product lines and distribution channels. Let me share more information on some of those now. First, we recently refreshed our Frankford Arsenal brand. Enhancing its appeal to the younger demographic, now entering the ammunition reloading space, while maintaining the brand's strong reputation among the established mature demographic that historically participates in reloading. In Q3, we launched new products that appeal to both demographics. First, we introduced a full line of entry level kits that make reloading easy and less intimidating for first timers. We also launched the X-10 Progressive Press which is now shipping. The X-10 is getting rave reviews from avid reloading consumers. We typically have a greater appetite for higher performing higher ASP reloading equipment. The X-10 is a state of the art press that incorporates smart technology, developed by the same internal electrical engineering team that designed a smart technology in our Lockdown Puck, our Bubba Smart Fish Scale and our Caldwell chronographs. In fact, based upon its internal technology, the X-10 will serve as a platform for additional reloading products that are now in our pipeline. Next, our Crimson Trace or CT brand built its reputation as the market leader in laser solutions and optics for firearms. But our Dock & Unlock process indicated CT has permission to play in the broader, more stable outdoor market. So we went to work exploring ways to combine CT's capabilities into advanced laser range finding optics. The result is our newly launched HorizonLine Pro Laser Rangefinding binos which incorporate our laser and instinctive activation technology, allowing the user to rapidly determine the distance of any object to 2000 yards. Suitable for a variety of applications and very competitively priced, the HorizonLine Rangefinding binos will ship this summer. Our Wheeler brand is a line of precision tools that is highly regarded by gunsmithing consumers and professionals who demand performance. We discovered that over time the brand had naturally migrated into new markets, including automotive and industrial applications. So we refreshed the brand with new aesthetics and packaging and recently launched new screwdriver sets designed for these markets, which represent new distribution opportunities for the Wheeler brand. For years, consumers have relied on our Lockdown brand to protect, store and organize their firearms and accessories. Recently, our Dock & Unlock process led us to think beyond the gun vault. The result is our new Lockdown SecureWall, a proprietary panel system that works with our hangers, shelves and baskets as well as standard peg hooks to create a custom storage space for everything from firearms, to tools to just about anything. This versatility makes it appealing not only to consumers, but to retailers as well. This spring, we'll launch the SecureWall Builder, our proprietary drag and drop software app that lets buyers easily plan and visualize their unique solution. The new Lockdown SecureWall product expand the brands reach beyond the legacy firearm owner into the broader consumer, DIY and retail markets, all new markets for Lockdown. Lastly, over the past year, we have energized our large and loyal Schrade consumer base with the rebranding and a variety of new cutlery products. And we've even caught the attention of hunters who represent a new market for Schrade. Now we have partnered with Rage, a brand renowned among bow hunters for its award winning, hunting broad head blade technology. Our teams collaborated to create the Schrade and Rage series a trio of razor sharp, replaceable blade knives that allow the consumer to never have to sharpen their knife. The Schrade and Rage series also creates a recurring revenue stream for us by introducing consumables. These features make it a great option for not only hunters in the field, but also for everyday carry consumers, most of whom are unfamiliar with the replaceable blade option. This collaboration which is unique in our industry gives each of our companies the opportunity to market our brands to a completely new user audience. The Enrage series will be available at select retailers beginning this month. These and many other products in the pipeline reflect our dedication to leveraging our culture of innovation to deliver solutions for consumers in a moment that matter. Based on feedback from our retailers, we believe they're as excited as we are about bringing these products to their consumers when their shelves are ready. While we address the dynamics of the current environment, we continue to invest in our long-term strategy, which includes leveraging our business model. During the third quarter, we expanded the lease agreement at our Missouri headquarters and distribution center, providing us full use of the building, creating opportunities to optimize past business consolidations and providing us with additional capacity, a benefit that aligns with our long-term plan to grow organically and through strategic acquisitions. In addition, we've also successfully completed our ERP implementation, a platform we expect will yield enhanced capabilities and improve analytics as we grow. Andy will provide more detail on these investments. For now, I want to express my appreciation to our implementation team and our employees across the organization for bringing our new ERP system successfully across the finish line. Our achievements in Q3 helped strengthen our foundation and prepare us for future growth. Long-term outdoor participation trends remain positive and as a nimble, innovative, emerging growth Company with a portfolio of strong brands that resonate with our core consumers. We are excited about the growth opportunities these trends present for our brands in the long-term. With that, I'll turn it over to Andy to discuss our financial results.
Andrew Fulmer: Thanks, Brian. In the third quarter, we delivered improved gross margins and maintained a disciplined approach to cost control. At the same time, we continued to fortify our balance sheet demonstrating effective capital deployment while making important strategic investments to support future growth. It was a quarter with several significant achievements and highlights, so let me walk you through the details. Net sales in Q3 were $50.9 million, a decrease of 27.4% compared to the prior year and an increase of 17.4% over the pre-pandemic third quarter of fiscal 2020. Net sales in our ecommerce channel were $24.5 million a decrease of 30.8% from Q3 of last year, but a significant increase of almost 54% over the pre pandemic third quarter of fiscal 2020. The recent year-over-year decrease was driven by reduced orders from our online retailers primarily in our shooting sports category. Our direct-to-consumer net sales increased 37.5% over Q3 of last year, driven by sales of our two DTC only brands, MEAT! and Grilla. Net sales in our traditional channel, which consists of brick and mortar retailers, decreased 23.9% in the third quarter compared to last year, which we believe is due to retailers' continued efforts to reduce their overall inventories combined with lower consumer discretionary spending. Gross margins came in strong for the quarter at 47.1% a 130 basis point improvement over Q3 of fiscal 2022. We benefited mainly from reduced tariff and inbound freight costs as we continue to make progress on our initiative to reduce internal inventory levels. It's also important to note that when tariffs were first implemented, our strategy was to maintain a steady flow of new products with strong gross margins to help achieve our long-term margin targets. We believe this strategy has helped us offset tariffs and higher inbound freight costs over time. GAAP operating expenses for the quarter were $27 million down roughly $400,000 from Q3 of last year mainly due to lower variable selling and distribution costs driven by the reduction in net sales. Non-GAAP operating expenses in Q3 were $22 million compared to $22.5 million in Q3 of last year. Non-GAAP operating expenses exclude intangible amortization, stock compensation and certain non-recurring expenses as they occur. As Brian noted, we announced that we have amended our lease agreement and will occupy 100% of the building space in our Columbia, Missouri headquarters beginning January 1, 2024. We estimate that the additional annual lease expense will be roughly $1.3 million and should be completely offset by the savings from the Crimson Trace and Grilla consolidations that were completed in November 2022. We believe this expansion will support our long-term organic and inorganic growth plan. We look forward to providing more details closer to the January 1 effective date. GAAP EPS for Q3 was a loss of $0.21 as compared with earnings of $0.27 last year. And non-GAAP EPS for Q3 was $0.13 compared to $0.52 last year. Our Q3 figures are based on our fully diluted share count of approximately 13.3 million shares. For the full-year, we expect our fully diluted share count to be roughly 13.4 million shares. Adjusted EBITDAS for the quarter was $3.3 million compared to $10.5 million last year. The reduction was mainly due to the loss contribution that resulted from lower net sales. Turning to the balance sheet and cash flow. In Q3, we strengthened our balance sheet, generated significant cash from operations and continue to return capital to our shareholders through our share repurchase program. We ended the quarter with $21.7 million of cash, an increase of $5.4 million sequentially from the second quarter, a result that included a $10 million pay down on our line of credit. Positive operating cash flow for the third quarter was $18.1 million compared to operating cash outflow of almost $1 million last year. Accounts receivable in Q3 this year decreased sequentially by $7.4 million from Q2 due to the decrease in net sales combined with a higher concentration of direct-to-consumer sales. Lastly, CapEx in Q3 was $920,000. By the end of the quarter, we generated free cash flow of roughly $17.2 million. This is a great result and compares to free cash outflow of $2.8 million in Q3 of fiscal 2022. Turning now to inventory. Last fiscal year, you'll recall that we built up our inventory levels to mitigate risks in our supply chain and to keep fill rates high with our customers. However, as consumer demand started to decline in the current fiscal year, we shifted our approach and developed specific inventory initiatives to lower our inventory and improve our working capital metrics. Those efforts have been successful and we have taken our inventory from $120.6 million at the end of our first quarter to $105.5 million at the end of our third quarter, a reduction of over $15 million. In Q3 alone, we reduced inventory by nearly $6 million. Going forward, we plan to further reduce our inventory and enhance our cash conversion cycle. Turning to capital expenditures. We expect CapEx for fiscal 2023 to be $1 million lower than the range we provided last quarter, driven by lower costs related to our ERP project and lower tooling costs. We now expect total CapEx for fiscal 2023 to be between $6 million and $6.5 million. Within that total, we expect product tooling and maintenance CapEx of between $3.8 million and $4.3 million and ERP project spending of $2.2 million which came in below budget. As Brian shared and I am equally pleased to report, we are now fully live on our new ERP system, Microsoft D365. As we worked through the implementation, you've heard me talk about our two phased approach to the project. Specifically, we went live with a small portion of our business on October 1, 2022. We scheduled the second phase of the project to go live in February of 2023. This yielded an excellent end result. The first go live helped us identify system enhancements that would improve our logistics function. So, we made those changes and executed the go live in February without a hitch. Kudos to the entire implementation team whose dedication and commitment drove the overall success of this project. In fiscal 2023, we expect to incur a total of $1.7 million in one-time ERP costs as well as $500,000 in duplicative costs to operate both D365 and our previous ERP in parallel. As an aside, the duplicative costs are now complete as we no longer need to run both systems in parallel. Both amounts will be treated as non-recurring implementation costs when calculating non-GAAP operating expense and adjusted EBITDAS. As I mentioned earlier, we paid down $10 million on our line of credit, leaving us with just $10 million outstanding. This places us in a negative net debt position with up to $87 million in available capacity. We remain focused on maintaining a very strong balance sheet so that we are well positioned to address our three capital allocation priorities which are organic growth, M&A and returning capital to shareholders. As we seek out M&A opportunities, we will remain disciplined in our approach. In the meantime, we continue to return capital to shareholders through our $10 million repurchase program. During Q3, we repurchased 192,000 shares at an average price of $9.43 a share. And since September, we have repurchased roughly 2% of our outstanding shares under the program. Turning now to our outlook. In Q3, we continue to see reduced ordering from our retailers and distributors as they work down their overall elevated inventory levels, while navigating through uncertain consumer demand patterns. We believe that consumers are spending less on discretionary products in this uncertain macroeconomic environment, driven by elevated inflation and interest rates. We continue to believe our brands are well positioned to capitalize on long-term outdoor participation trends. However, we also believe the current dynamic is affecting us in the short-term and will likely take a couple of fiscal quarters to sort out. As a result, we now believe that net sales for fiscal 2023 could exceed pre-pandemic fiscal 2020 levels by as much as 13%. In Q4, we expect some gross margin improvement over the prior year due to reduced freight costs since we have now sold off some of our higher cost inventory. We're expecting a promotional environment in Q4 that is similar to the environment we saw in Q4 last year with normal seasonal promotional programs primarily in the shooting sports category. With regard to OpEx, we expect Q4 OpEx spending to decline sequentially from Q3, both from reductions in variable selling and distribution costs driven by lower sales volume and a reduction in marketing costs from having no major trade shows. We will continue to identify areas for cost containment where it makes sense in the short term, while being mindful of long-term investments needed to grow the business and execute on our strategic objectives. As we move through the fourth and final quarter of our current fiscal year, we are excited about the way we've positioned our Company for the future. Since our spin off in 2020, we have completed several major investments that have strengthened our platform for growth. They include setting up our Company as a fully independent standalone business, the formation of our brand name structure, the creation of our differentiating Dock & Unlock process, the establishment of a robust ecommerce platform, the launch of websites for each of our key brands and the successful implementation of our new ERP infrastructure. Those investments have helped us win customers as well as expand in a new markets and categories, including our entry into shotgun sports with the Caldwell Claymore. Our entry into outdoor cooking with the acquisition of Grilla Grills and the creation, launch and growth of our MEAT! Your Maker brand. These achievements combined with our demonstrated approach to disciplined capital management represent our ability to look beyond the choppy waters of the current environment that Brian referenced. To build a strong platform for growth and remain focused on the long-term opportunities that we see ahead. With that, operator, let's open the call for questions from our analysts.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question will be from Ryan Meyers from Lake Street. Please go ahead.
Ryan Meyers : Yes. Hi, guys. Thanks for taking my questions. First one for me, I wonder if you can just kind of unpack the inventory level at retailers a little bit better. Have we seen any improvements since last quarter and it sounds like it might be a little bit more kind of back half 2023 weighted. Just kind of what your level of confidence is that you guys are going to see that here in kind of the second half of the year?
Brian D. Murphy: Sure. Hey Ryan, it's Brian. I'll take a swing at it and then Andy, feel free to jump in. So as it relates to what we're seeing inventory wise, at our retailers. We saw a pretty strong showing over this last quarter. So POS inventory was down over 30% within the channel. And it was actually -- it was down about 26% sequentially from Q2 to Q3. So we think that's a great result. And very strong POS, we set down high single digits within that, there was some mix, outdoor lifestyle performed actually pretty well. And then shooting sports was a little bit softer. But based on what we're seeing, based on that continuation, the decline in inventory within the channel, and what we're hearing from our retailers, it does look like based on those facts that kind of things will pick back up in the second half of this calendar year.
Ryan Meyers : Got it. And then just kind of looking at the new products, you said it represented 24% of the mix, but I'm curious what the growth rate looks like on some of these new products. Are they outperforming the other part of the business?
Brian D. Murphy: This is Brian again. Without the data in front of me, I'll give you sort of anecdotal or directional, which is we haven't seen as much new product adoption in the last call it six or nine months because it was a period of time where retailers just wanted as much inventory as possible. And obviously over purchased and now we see the dynamic playing out in front of us winding down destocking that inventory. So like the whether we say 24% or so on a trailing basis, I would actually expect that number to be a little bit higher in a more normalized environment because we've held up as you know on some of our new product placement. And so I think overall the new products are performing incredibly well and some more recently like the Caldwell Claymore and the Frankford Arsenal X-10 are selling extremely well and everything that's coming in the door right now is going right out. So we're seeing some great traction with the new products, but I think overall as a percentage of our total business, because we held back to let some of that other inventory flow through, you'll begin to see more of that acceleration come through in the next 12 months.
Andrew Fulmer : Yes. And Ryan, this is Andy. I would just add to that, we were -- last quarter was 30% of total sales, so we've been as high as 30% in previous quarters.
Ryan Meyers : Got it. That's helpful. Thanks for taking my questions.
Brian D. Murphy: Yes. Thanks, Ryan.
Operator: And the next question is from Eric Wold from B. Riley Securities. Please go ahead.
Eric Wold: Thanks for taking the question. A couple of questions. I guess one, just a follow-up on the prior one. Think about POS, the channel, the down high single digits in the quarter, that's just pure year-over-year sales. That's not adjusting for any headwinds you may have from a lack of inventory. Just trying to get a sense of how much you think the lack of inventory in the channel, maybe some products is impacting that POS. If you can maybe talk about what you're seeing in terms of pockets of strength across the weakness based on the POS data?
Brian D. Murphy: Yes. Hey, Eric, it's Brian. And Andy, feel free to jump in. So I would say it's -- that number really is not limited by lack of inventory per se. It's across the board. And then like I mentioned outdoor lifestyle, better than that, high single digits and shooting sports was a little bit weaker than that. So we are seeing -- shooting sports dealers in particular because they do in some cases have different customer base. Those dealers are really being very cautious based on what's happened previously in some of the previous cycles. And then you've got the outdoor lifestyle side, which I think you've got some different dynamics in the environment versus say 18 months ago. That have maintained that demand. But overall, no, there's no new products or not or lack of products are not inhibiting that number.
Eric Wold: Got it. And then on the shooting sports side, I know in the past the OEM partners kind of pre bought a little bit kind of get ahead of products and supply chain issues and that was a headwind. I guess what are you seeing from that side of the business in terms of the OEMs, in terms of their production plans and their outlook in terms of what's driving your sales into them?
Brian D. Murphy: Yes, great question. This is Brian again. So traditionally, when firearm sales slows down, they do look for bundling opportunities and that continues today. So we are seeing opportunities with our OEM partners. One of the benefits of spinning out from our former parent Company is we now have the ability to work with more OEMs. So certainly those opportunities are coming through and we're jumping on those.
Eric Wold: Got it. And then just final question from me. Thinking about your updated sales outlook for this year along with your continued efforts to mitigate internal inventory. What's a reasonable assumption for you can get inventory levels down to by the end of the fiscal year?
Andrew Fulmer: Hey, Eric. This is Andy. Haven't been public with a number, but if you kind of look back at fiscal 2021, we ended fiscal 2021 at $74 million of inventory. We said at that time that was too low because our backlog was pretty high at that point. But Q1 of 2021, it was definitely too high. So our team has done an excellent job of getting that number down, $15 million since Q1. And we're not going to stop the reduction. So, I would look forward to Q4 reduction and then into fiscal 2024 as well.
Eric Wold: Perfect. Thank you, guys.
Brian D. Murphy: Yes, thanks, Eric.
Operator: [Operator Instructions]. The next question is from Matt Koranda from ROTH MKM. Please go ahead.
Matt Koranda : Hey, guys. Good afternoon. Maybe just a follow-up on the traditional channel here. What do you think retailers need to see before they pull the trigger on restock orders? I guess why are we assuming the second half of 2023 other than just high inventories maybe just went down enough. Are there other things that your customers say they need to see before they start to pull the trigger in a more robust way on restocks?
Brian D. Murphy: Yes, it's a great question. This is Brian. I think the overarching theme we hear from all of our retailers is again this broader reduction where they have too much of one product and they would like to see overall inventories come down. We are seeing certainly some pockets of more velocity depending on the overall inventory position of certain retailers. But terms of what they need to see, I think it's just a stabilization with the end consumer because as they look at, this is going to sound a little bit finance, but they're looking at what the expected POS is going to be. They're running their own models and then they're looking back and saying how many weeks of inventory do we want on hand. And for certain products that are more seasonal in nature, there is a little bit more cautiousness because that season may not be here just yet, but they still have product from last year. And so I think it's just a little -- one little extra bit of complexity for some of those categories. So we wanted to see going into the holidays and so did our retailers robust consumer activity and certainly there was sustained demand. But it probably wasn't up as much as people would have liked to see. So that just led to little bit higher inventories than expected heading into the first calendar quarter for retail and really just as we get into the new season, we get into fishing, we get into camping, some of those types of things, turkey hunting, really want to see what the consumer does there. So I think that's a big part of it.
Matt Koranda : Okay. That's helpful. And then just any disaggregation of the ecomm channel that you guys can provide within the quarter. How much did Grilla contribute? Anything going on in the Amazon channel that we should be thinking about that influenced sales there? Just trying to get a sense for how to unpack that because it did seem to have an organic decline. Its little bit more than we had expected.
Brian D. Murphy: Yes. Hey, Matt, it's Brian again. So within ecommerce, for others that might be listening, ecomm includes sales to online retailers. You mentioned Amazon, certainly they're one of our customers and then also direct-to-consumer sales. So we mentioned direct-to-consumer was up, I think it was like 37% or so. Obviously, part of that number includes the acquisition of Grilla. So what I would tell you within that direct-to-consumer number, I don't want to break it out, but our two direct-to-consumer only brands were up organically over last year. So that's a very positive trend for us and continues to speak to that direct connection with the consumer and that pull through that isn't subject to some of the retailer ups and downs with supply chain. And did you have a question about -- you mentioned Amazon, Sorry, Matt, you mentioned Amazon.
Matt Koranda : Yes, it was just wanted to see if there's anything unique going on in the channel there, just in terms of your inventory availability, anything that kind of constrains sales or was it just kind of softer end consumer demand in that channel?
Brian D. Murphy: It's the continuation really of the theme for all of our online retailers reducing overall inventories.
Matt Koranda : Got it. Yes. So it's a destocking issue, not necessarily just an end to end issue in that channel.
Brian D. Murphy: Exactly. And just to point to that are the POS inventory that we're seeing with that we said is down over 30%...
Matt Koranda : Is there -- should we think about any material difference in POS in the ecomm channels that you have versus the traditional channel that you mentioned?
Brian D. Murphy: No.
Matt Koranda : Or is that the same in terms of down high single digit? No difference. Okay.
Brian D. Murphy: No difference.
Matt Koranda : Got it. And then just last one, I mean strong balance sheet, loss of dry powder. Could you just give us an update, Brian, on how you're thinking about M&A? What you are seeing in the pipeline, any new opportunities that are shaking those just given the more difficult environment to sort of macro wise?
Brian D. Murphy: Yes. So we have seen far fewer number of deals coming to market, so investment banker led deals has declined. As you'd expect I think you've got sellers that previously were trying to take advantage of the market six, nine months ago. And now are having to kind of reset expectations and make sure that they can show run rate improvement. That has not occurred yet. So we're not seeing a whole lot coming to market. With that said, we have done a ton of work to try to cultivate a proprietary pipeline, which is how Grilla came about. And so we are seeing some of those deals where maybe a founder would like to exit that business. It's just not the right time. They need more help, let's say, with supply chain or in some cases, as I've alluded to in the past, there may be a distress situation where we could come in and help out. So, certainly, there are opportunities, but it's more on the smaller side and with founders and it depends on their circumstance. But overall activity is down.
Matt Koranda : Okay. Makes sense. I'll leave it there guys. Thanks.
Brian D. Murphy: Thanks, Matt.
Operator: Ladies and gentlemen, this does conclude our question-and-answer session. I would like to turn the conference back over to Brian Murphy for any closing remarks.
Brian D. Murphy: Great. Thank you, operator. Before we close, I want to let everyone know, we'll be participating in the ROTH Conference in California next week and hope to see some of you there. I want to thank our employees whose loyalty, hard work and dedication continues to move American Outdoor Brands forward on the path toward an exciting future. Thank you for joining us today. We look forward to speaking with you again next quarter.
Operator: And thank you. The conference has now concluded. Thank you for attending todays presentation. You may now disconnect.